Presentation:
Operator: Good morning and welcome to the Sify Technologies Limited Conference Call. Following the earnings announcement for the quarter ended September 30, 2014. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. I would now like to introduce your host for the conference Ms. Trúc Nguyen, Investor Relations for Sify Technologies Limited. Thank you Ms. Nguyen, you may begin.
Trúc: Thank you, Manny. I would like to extend a warm welcome to all of our participants on behalf of Sify Technologies Limited. I’m joined on the call today by Raju Vegesna, Chairman; Kamal Nath, Chief Executive Officer; and M. P. Vijay Kumar, Chief Financial Officer of Sify Technologies. Following our comments on the results, there will be an opportunity for questions. If you do not have a copy of our press release, please call me at 646-284-9418646-284-9418 and I can hand one set to you. Alternatively, you may obtain a copy of the release at the investor information section of the Company’s corporate Web site at www.sifycorp.com. A replay of today’s call may be accessed by dialing in on the numbers provided on the press release or in the accessing the webcast in the investor information section of the Sify corporate Web site. Some of the financial measures referred to during the call and in the earnings release may include non-GAAP measures. Sify's results for the year are according to the International Financial Reporting Standards or IFRS and will differ somewhat from the GAAP announcements made in previous years. A presentation of the most directly comparable financial measures calculated and presented in accordance with GAAP and a reconciliation of such non-GAAP measures and of the differences between such non-GAAP measures and the most comparable financial measures calculated and presented in accordance with GAAP will be made available on Sify's Web site. Before we continue, I'd like to point out that certain statements contained in the earnings release and on this conference call are forward-looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described. With respect to such forward-looking statements, the Company seeks protections afforded by the Private Securities Litigation Reform Act of 1995. These risks include a variety of factors, including competitive development and risk factors listed from time-to-time in the Company's SEC reports and public releases. Those lists are intended to identify certain principal factors that could cause actual results to differ materially from those described in the forward-looking statements, but are not intended to represent a complete list of all risks and uncertainties inherent to the Company's business. With that I would now like to introduce Raju Vegesna, Chairman of Sify Technologies Limited, Raju?
Nguyen: Thank you, Manny. I would like to extend a warm welcome to all of our participants on behalf of Sify Technologies Limited. I’m joined on the call today by Raju Vegesna, Chairman; Kamal Nath, Chief Executive Officer; and M. P. Vijay Kumar, Chief Financial Officer of Sify Technologies. Following our comments on the results, there will be an opportunity for questions. If you do not have a copy of our press release, please call me at 646-284-9418646-284-9418 and I can hand one set to you. Alternatively, you may obtain a copy of the release at the investor information section of the Company’s corporate Web site at www.sifycorp.com. A replay of today’s call may be accessed by dialing in on the numbers provided on the press release or in the accessing the webcast in the investor information section of the Sify corporate Web site. Some of the financial measures referred to during the call and in the earnings release may include non-GAAP measures. Sify's results for the year are according to the International Financial Reporting Standards or IFRS and will differ somewhat from the GAAP announcements made in previous years. A presentation of the most directly comparable financial measures calculated and presented in accordance with GAAP and a reconciliation of such non-GAAP measures and of the differences between such non-GAAP measures and the most comparable financial measures calculated and presented in accordance with GAAP will be made available on Sify's Web site. Before we continue, I'd like to point out that certain statements contained in the earnings release and on this conference call are forward-looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described. With respect to such forward-looking statements, the Company seeks protections afforded by the Private Securities Litigation Reform Act of 1995. These risks include a variety of factors, including competitive development and risk factors listed from time-to-time in the Company's SEC reports and public releases. Those lists are intended to identify certain principal factors that could cause actual results to differ materially from those described in the forward-looking statements, but are not intended to represent a complete list of all risks and uncertainties inherent to the Company's business. With that I would now like to introduce Raju Vegesna, Chairman of Sify Technologies Limited, Raju?
Raju Vegesna: Thank you, Trúc. Good morning and thank you for joining us on the call. In the last quarter we were awarded the Golden Peacock Award for business excellence, an endorsement of our management practices, corporate governance, business excellence and industry best practices. Coming into 15th year of our listing on the NASDAQ, it is a reorganization of the transparency with what we have conducted ourselves. The experience and the credibility gained on the recent network integration project completed for India’s Department of the Posts has helped us to become a major contender for all the large scale infrastructure technology projects. It is encouraging that clients are now seeing us a knowledgeable partner and engaging us at the planning stage. In an environment that is just recovering from the recession i.e. in India that should help us give a nice start in the future businesses. If you reflect on our past quarter, I would now ask Kamal Nath our CEO to expand on some of the businesses’ highlights, Kamal?
Kamal Nath: Thank you, Raju. In fact quarter two has been the best ever quarter for Sify Technologies from both order booking and revenue perspective. We have seen significant traction among our customers for our Data Center Transformation services. And with the new government firmly in place we are also seeing quicker decision-making among the government on the issues. Our order book mix is reflecting both these scenarios. Let me spend some time on the business highlights for the quarter. As far as Telecom business is concerned it is has increased the order booking all by 26% over the previous quarter. The business has added three banks one among India’s oldest PSU bank. Another keyway to the large franchised channel American fast food restaurants we have signed up with City for connectivity services. I am also happy to share with you at our network managed services we have covered more than 10% of the total base as of now. The Data Center business has shown 31% growth in order booking over the previous quarter. One of India’s major tobacco manufacturer and distributor and a group company of a larger conglomerate signed up for hosting services with us, along with managed services. The business had also won an order from a leading multinational life insurance company and a premium urban Co-operative Bank. As far as Technology Integration services business is concerned that business has performed the highest order growth of more than 400% over the previous quarter. Four key State government Electricity Boards contracted for a large scale refresh of their IT infrastructure and distribution network. Two nationalized banks contracted for network services from Sify. An Asian engineering major selected us to set up the Network for one of their clients in the energy sector. And the business has also signed a major voice collaboration deal with an IT major to help migrate to a client across network protocols. Cloud and managed services the tobacco manufacturer mentioned earlier have also signed up a complete IT outsourcing as far as the data center is concerned with us. A State Government promoted IT and biotic society and an online portal for idea incubation were the other signees for cloud and managed services with Sify. Application integration services under this business we have signed off an SP services led total outsourcing deal with the retail food chain which is a very significant achievement for this quarter. This business has also shown quarter growth of more than 42% over the previous quarter. One of the India’s older business houses and a Government of India organization in infrastructure have also contracted us for a select set of services and on application integration. I’ll now hand you over to Vijay our CFO to expand on the financial highlights for the quarter.
M. P. Vijay Kumar: Thank you, Kamal, and good morning everyone. And I would convey my sincere thanks to all the stakeholders for Sify’s successful journey over 15 years of listing at NASDAQ. I’ll now provide detailed financial results for the second quarter of financial year 2014-2015. Revenue for the quarter ended September 30, 2014 was INR 3160 million, an increase of 26% over the same quarter last year. EBITDA for the quarter was INR 456 million, an increase of 8% over the same quarter last year. Net profit for the quarter was INR 90 million down 15% versus same quarter last year. CapEx during the quarter was INR 785 million. Cash balance at the end of the quarter was INR 1505 million. While we are seeing consistent revenue growth there has also been an increase in our expenditure which has created some pressure on our net profit. Much of this is due to depreciation associated with our newly opened large data centers along with some implementation costs being incurred during the final stages of a large network integration project. This large network integration project is nearing completion and we are working through the acceptance process following which the associated revenues will accrue. Our new state-of-the-art data centers will have an initial gestation period before the strong customer interest and the business opportunities around data center transformation, translate into annuity revenues, Chairman?
Raju Vegesna: Thank you, Vijay. While on one side I’m glad about the face we have maintained, we still have a long way to go to realize our potential. The challenge now is to stay light and be relevant to our client’s business. Our cost effectiveness, our knowledge practices and our scale will be the three eventual pillars that differentiate us from the competition. Thank you for joining us on the call. I will now handover to the operator for questions, operator?
Question:
and:
Operator: Thank you. We will now be conducting a question-and-answer session. (Operator Instructions) Our first question is from Mohan Krishna of Mark Holdings. Please go ahead.
Mohan Krishna : Good morning everyone. Glad to see Sify expanding into new areas and winning new contracts and expanding its revenue base. We also see Sify expanding its presence in international geographies. I would want to know what value addition will this bring in to enhance its revenues and also its bottom-line in terms of net profits?
Mark Holdings: Good morning everyone. Glad to see Sify expanding into new areas and winning new contracts and expanding its revenue base. We also see Sify expanding its presence in international geographies. I would want to know what value addition will this bring in to enhance its revenues and also its bottom-line in terms of net profits?
Raju Vegesna: So Mohan, we just started taking what if we successfully launch in India. Taking to the North America as our first phase and we will see the benefits as you know these things take time. And the way we are working on this thing to approach this market has more of a service provider than the system integrator. I think the results remains to see in the future.
Operator: And we have no further questions at this time. I would like to turn the floor back over to management for any closing remarks.
Raju Vegesna: Thank you everyone for joining us on the call and we look forward to interacting with you in the coming quarter. Thank you and have a good day.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.